Operator: Good day, ladies and gentlemen, and welcome to the Blucora First Quarter 2019 Earnings Conference Call. [Operator Instructions] As a reminder, this call will be recorded. I would now like to introduce your host for today's conference, Mr. Bill Michalek, Vice President of Investor Relations. You may begin.
Bill Michalek: Thank you, and welcome, everyone, to Blucora's first quarter 2019 earnings conference call. By now you should have the opportunity to review a copy of our earnings release and supplemental information. If you've not reviewed these documents, they're available on the Investor Relations section of our website at blucora.com. I'm joined today by John Clendening, Chief Executive Officer; and Davinder Athwal, our Chief Financial Officer. Before we begin, let me remind everyone that today's discussion contains forward-looking statements based on the environment as we currently see it and speak only as of the current date. As such, they include risks and uncertainties and actual results and events could differ materially from our current expectations. Please refer to our press release and other SEC filings, including our Forms 10-K, 10-Q and other reports, for more information on the specific risk factors. We assume no obligation to update our forward-looking statements. We will discuss both GAAP and non-GAAP financial measures today, and all non-GAAP reconciliations are available on our earnings release and other supplemental information including on the Investor Relations portion of our website at blucora.com. With that, let me hand it over to John.
John Clendening: Thanks, Bill, and good morning, everyone. I'm pleased to report that Blucora had a very strong start to the year posting double-digit growth rate and exceeding the high end of our guidance range on most metrics. Compared to last year's first quarter, Blucora revenue grew by 10%, adjusted EBITDA by 26%, and non-GAAP EPS by 30%. We generated strong cash flow and reduced our net leverage ratio to less than 1 at 0.8x prior to the acquisition closing versus 1.5 times at the end of the fourth quarter. So let's jump right into segment performance, starting with tax preparation. For this discussion I will be talking about the full tax-season which is through Tax Day +1, or through April 16, as well as our full first half 2019 expectation for TaxAct. TaxAct delivered very strong financial results and continued to make progress on repositioning the business for the future. We expect to grow first half TaxAct revenue by approximately 13% versus the comparable period last year, which would put us above the high-end of our original and upwardly revised outlook ranges for revenue. Even with some incremental strategic investment in the business, we expect first half segment margin will come in at the 58% range, obviously very strong and at the high-end of our revised outlook range and above our original range. Monetized units for the season were approximately flat year-over-year, marking the second consecutive year of stability in this metric, following prior declines and coincident with some increases in list prices. As a reminder, monetized units include software units for which we are paid for either or both of the software or ancillary service, as well as partnership units. Overall units, which includes free or unpaid units, declined year-over-year as expected. So, let's get in to a bit of the detail. As you'll recall the season got off to a very slow start with the government shutdown and customer uncertainty around tax reform, and early results from the IRS showed total filings down 12% and DDIY down 9% as of February 1st. The DDIY market saw a nice recovery from there and ultimately ended the season up about 4.2% in unit volume. This season we continued to focus on monetized units. As we would expect when aiming for higher value customers and deemphasizing free, our total DDIY e-files declined year-over-year while our average revenue per user increased. Through April 16th, our total U.S. consumer e-files were 3.1 million representing total market share of about 5.5%, a reduction of 160 basis points from last season, again due to a drop-off in unpaid filers, while maintaining stable monetized filers and increasing list pricing by more than 10%. Big picture, and those of you who have been dialing in for a few years know this because we've been consistent, we have been on a multi-year journey to close the gap in our discount to the volumetric leader, in order to create a more normalized discount while improving unit economics. While there is room for further price increases we have clearly made substantial progress on unit economics. In online consumer, our segment income per filer is roughly double the amount that it was in 2016, and thus we now feature a much healthier economic profile. We have also stepped up our efforts on making the tax filing experience easier and more rewarding for our customers. To enhance the customer experience, we introduced an upgraded mobile experience as well as innovations like 10 minute taxes -- a streamlined process to guide certain filers with simple returns to complete their returns in just 10 minutes or less. Innovations like this are designed to enable our customers to do more in less time so they can get back to the things that matter most to them. We also introduced refund marketplace which rewarded filers with a bonus amount on a gift card, when they allocated a portion of their refund to gift cards from an assortment of national retailers. This bonus made the tax filing process better than free for many filers, with about 40% of all filers who took advantage of the marketplace walking away from TaxAct filing experience with more bonus money than they paid us to file. In total, TaxAct customers placed more than $6.5 million in refund dollars on nearly 40,000 cards, and earned hundreds of thousands of dollars in bonus money. This year the bonuses ranged up to $599, which is a nice bonus, just for choosing TaxAct. In addition to the enhanced customer experience, we had some new and expanded partnerships this season. Partner volumes increased significantly year-over-year, albeit from a small base, driven by distribution partnerships. Our proprietary BluPrint analysis, which analyzes a tax return and uncovers real savings opportunities for our customers, was also back this year, although with a late start, and is helping customers and connecting them with other partner products where appropriate. Consistent with our mission to provide the most value to customers across their financial lives, many of these products are offered with monetary or other bonuses or at discounted rates. For example, these products could include a 50 basis point reduction on loans or no interest for 15 months on credit cards. We look forward to continuing to engage with the now roughly 4 million cumulative customers that have indicated through BluPrint that they are interested in TaxAct helping them with their financial lives, even outside of tax season. We hope to build on this over time and shift how and when our TaxAct customers work with us. We believe we're the only online tax software company that offers this level of insight and guidance into the financial health of our customers and provides comprehensive solutions, which can save our customers real money now and for years to come. This is phenomenal value creation opportunity for our customers. TaxAct Pro, our product for professional tax preparers, had a successful season and outperformed the market. In a market that saw the overall IRS assisted market decline by about 0.7%, TaxAct Pro grew e-files by 4% year-over-year, and increased market share. So overall on tax preparation, we delivered very strong financial results and continued to make incremental progress on repositioning the business for the future. As you know, Curtis Campbell joined us late last year to lead our TaxAct business. While he joined late in the year and largely inherited a strategy for the season, he has made an enormous impact. Not only on our results this season, but also in making significant improvements in our capabilities across all aspects of the business, including leadership, marketing, product management and engineering. He has brought in great new talent in to the organization, has already spent an incredible amount of time with customers, and is establishing a clear vision and roadmap to significantly strengthen our strategic and competitive positioning in this business, with an eye toward organic growth on the strength of our now-attractive unit economics. We are looking forward to our first tax season next year with Curtis at the helm for the full cycle. As we look ahead, there are some changes we would expect to see as a result of Curtis' leadership, as well as the fruits of the progress we have been able to make over the past few seasons. This is because we have never been more clear on the steps necessary to restore this business to strong organic growth, with a reduced dependence on list price increases. We will really lean in to the customer and their experience as we aim to unlock what is most valuable to them. We will accelerate our investment in technology, in particular the timing of our code refactoring work to complete over the next two years. We will continue to evolve our BluPrint solution to leverage the tremendous potential to uncover opportunities for customers. We will aim to continue to build on our partnership strategy. One other change you may see is an increasing return back to the free market. Over the past few seasons, we have pivoted our focus away from free. Our goal was to pick the most attractive segments of the market, where we could be the most effective and drive the highest lifetime value customers, and for us, that started with monetized units and a focus on those customers willing to pay us in year one. While we have been committed to creating attractive economics on the monetized side, and as noted we've made dramatic progress in this regard, this has naturally come at a cost to overall units, as well as monetized units, as it is hard to grow units at the same time as raising prices. Now that we have built a healthier business with better lifetime value and attractive economics on monetized units, we believe we can now afford to open back up to free. Three years ago it would not have made sense, but our improved economic footing points us to look to grow quality monetized units as well as quality free units. Overall, we're already very excited about our plans for next year. While we are just a short time out of this past tax season and there is a long way to go to next year, I wouldn't be surprised if the year-over-year change and improvement next year is the most significant in our history. More to come on that. Turning now to Wealth Management. HD Vest results were generally in line or better than our target ranges. Revenue was at about the midpoint of our target range and down about 3% year-over-year to $89.5 million, driven by a reduction in trailer revenue resulting from the industry's mutual fund share class conversion from C shares to A shares, the reduction in transactional activity that we discussed last quarter resulting from the learning conversion, and higher advisor payout, partially offset by higher sweep revenue. Segment income was above the high-end of our target range and down about 12% year-over-year to $11.5 million. The decline year-over-year was primarily driven by higher advisor payout and incremental expenses associated with the clearing conversion. The outperformance relative to expectations was driven by better expense control as well as certain anticipated clearing related costs being reimbursed or credited. Fee-based Advisory Assets were up 10% year-over-year to $14 billion, setting a new record level for the Company and crossing the 30% of total assets threshold for the first time. Total Client Assets increased 4% year-over-year to $46.2 billion. Net inflows into Advisory Assets in Q1 was about $270 million. Net inflows into total client assets was about $100 million. A few updates I'll call out here for HD Vest. As it relates to the clearing conversion, our service level metrics are back in line with our pre-conversion norms. While transactional volumes for the quarter remained soft as expected, as advisors continued to ramp to speed with the new technology implemented during the conversion, as well as worked through the complexity of the tax law changes with their tax clients, now that tax-season is behind us, we are seeing a significant rebound in transaction activity and continue to expect to be back to a normalized range by the end of the second quarter. This is important since we tend to have lower average payout ratios on transactions due to advisor mix. Recruiting continues to be strong with about 40 new advisors joining in Q1, including new tax pro advisors as well as established advisor transfers. The largest transfer in Q1 was an advisor with about $180 million in assets, transferring from one of the top wire houses. About $10 million from that advisor transferred in Q1, and we expect the remainder will continue to transfer over the coming months. We also added four more high-value accounting firms in the quarter with approximately $13 million in cumulative accounting revenue and representing an estimated $1.3 billion prospecting opportunity in total client assets. And in Tax Smart Innovation, we have told you about the tax smart investing software platform to help advisors systematically capture tax-alpha for clients that we have had in beta testing. The product has continued to evolve and improve and has exceeded my expectations of where we'd be at this point. I'm excited to say that it will launch officially next month, and be available to all HD Vest advisors. Investors unnecessarily give up 1 to two percentage points of performance each year to taxes, and this product identifies the top opportunities in an advisor's client base every day, and helps capture that opportunity. This is a big deal for investors. Over say a 30-year period, it could mean as much as $800,000 in incremental assets at retirement for an average investor. We'll continue to provide updates here after we launch and work to drive broad advisor adoption. This is also a big deal for Blucora as we continue to unlock the differentiated value of the combination of tax and wealth management through proprietary technologies. The other big news in our wealth management segment is that our acquisition of 1st Global has closed as of May 6th. To briefly summarize the four key points from the conference call we held in mid-March: First, 1st Global adds significant scale to our wealth management business which drives substantial revenue and cost synergies. A meaningful amount of the revenue synergies is external and contracted and the bulk of the remainder are fully under our control. Second, it is complementary and enhances our business with a strong position in large accounting firms, a large proportion of advisory assets and strong capabilities in key areas such onboarding, advisor development and in-house portfolio management. Third, we expect the transaction will be financially accretive to EPS and other key performance metrics, such as advisor productivity and return on client assets. And finally, it expands our established tax-optimized investing footprint by creating by far the largest and most capable tax-focused wealth manager, positioned to provide better service and capabilities to our advisors, and ultimately better outcomes for their clients. And, assets managed under an RIA framework now total approximately $24 billion. It's been terrific to meet with dozens of 1st Global advisors in the past few weeks and I'm excited they are now part of the Blucora family. All of the 1st Global advisors we've met with share in our fundamental belief that true wealth management must consider all aspects of a client's financial life and tax is a crucial piece of that. The days of the advisor disclosure that tells the client to "consult your tax advisor" are gone and a new age of wealth management which capitalizes on the combination of tax professionals, financial advisors and value creating technologies is here. So, in closing, I'm very pleased with our strong consolidated first quarter results with double-digit revenue, adjusted EBITDA and earnings growth, and significant cash flow. TaxAct posted great financial results led by a significantly strengthened team. Wealth management is showing growth in each of the three key drivers of value creation: organic growth, conversion to fee-based AUM and increased income from sweep and continuing to position the business for continued future success with our attractive consolidating acquisition, which extends our lead in our market segment, and key innovations like our tax-smart investing platform. Simply put, we continue to make great progress and best position the company for the future. One final thought before I turn it over to Davinder. As many of you may have read in our recently filed proxy, one of our Board members, Lance Dunn, has indicated his intent to retire from the Board after the upcoming annual meeting. Lance has made many significant contributions to Blucora over the years, not only as a member of our Board since 2012, but also as the co-founder and former CEO of TaxAct. I'd like to sincerely thank Lance for those contributions as well as his great support and guidance to me personally. With that, let me turn it over to Davinder.
Davinder Athwal: Thanks John, and good morning, everyone. As a follow-up to John's comments, I'd like to provide some additional detail on first quarter performance, a balance sheet update and an outlook for each of the second quarter and full fiscal year. Beginning with consolidated results for the first quarter, and year-on-year growth, revenue was $225.8 million, or up 10%; adjusted EBITDA was $83.7 million, up 26%; Non-GAAP net income was $77.2 million, or $1.56 per diluted share, representing an improvement of 33% and 30% respectively; GAAP net income was $62.2 million, or $1.25 per diluted share, representing an improvement of 37% and 34% respectively; and lastly, operating free cash flow for the quarter was $69.0 million, up 22%. Turning now to segment performance, and beginning with Tax Preparation. TaxAct first quarter revenue was $136.2 million which was in line with our upwardly revised guidance range with segment income of $79.3 million, which was above the high-end of the target range, driven largely by a shift of marketing dollars between quarters. As John mentioned, we expect first half revenue growth to be approximately 13% versus last year. These results are driven by an approximate 37% increase in DDIY consumer average revenue per user. Segment margin for first half is expected to come in at 58%, which is at the high-end of our upwardly revised range. Moving on to Wealth Management. HD Vest first quarter revenue was $89.5 million at about the midpoint of our target range and segment income was $11.5 million, above the high-end of our guidance range, driven by lower than expected impact from post-clearing conversion items as well as better expense control. As previewed last quarter, we did have some unusual items in the first quarter, including approximately $1 million in advisor bonus recognizing top advisors based on production and advisory assets. This will decline to about $700,000 in Q2, $400,000 in Q3 and go away thereafter, an increase of $300,000 in legal reserves, that we do not expect to see again in Q2. And finally, a charge of $400,000 for short-term contract support costs, however, I'd note that these costs were ultimately reimbursed or credited, so there was no net impact in the quarter. We are pleased with total client asset net flows of about $100 million and our advisory net flows of $270 million. Finishing up on first quarter performance, unallocated corporate expenses came in at $7.1 million and in line with our expected range. Moving on to the balance sheet, we ended the quarter with cash and cash equivalents of $149.8 million and net debt of $115.2 million, which reflects continued strong cash-flow. Our net leverage ratio ending the quarter was 0.8 times, down from 2.1 times a year ago. And while we implemented a new accounting standard for GAAP reporting in Q1, there will be no change in how we report segment income, adjusted EBITDA or free cash flow. As John note in his remarks, subsequent to the end of the quarter, we closed the acquisition of 1st Global, which we're very excited about. We believe it's a great opportunity for us to accelerate our growth and profitability with significant revenue and cost synergies; and it is expected to be accretive to both EPS and free cash flow, enhancing shareholder value. Since the acquisition closed on May 6, we'll include 1st Global's results from that date forward. But thinking about the scale of our combined businesses, as of the end of the first quarter, 1st Global had total client assets of $20.2 billion, of which $9.8 billion were advisory assets, and an advisor count of about 820. Combined with HD Vest Q1 ending metrics, that would result in total client assets of $66 billion, of which nearly $24 billion are in advisory assets, and advisor count of roughly 4,400. As it relates to the transaction closing, on May 6, we paid $55 million in cash and borrowed $125 million as an add-on to out Term Loan B due 2024, at the existing interest rate of LIBOR plus 300 basis points. This brings our current debt level to about $390 million. Priorities for our cash flow in 2019 will continue to be pay-down of our debt, investing in the growth of the business and supporting our growth initiatives. As we announced in March, we now have a $100 million share repurchase authorization that provides additional flexibility and an alternative for cash redeployment through opportunistic buybacks. Also, as a reminder, the non-controlling interest in HD Vest became redeemable last quarter and we will see an associated cash outlay of approximately $25 million in the second quarter, with no P&L impact. All told, we expect to end the second quarter at approximately 2.0 times leverage based on pro forma trailing 12 month EBITDA. Turning next to our outlook for the second quarter, for TaxAct, we have already provided our outlook for the first half of 2019. That outlook translates into a second quarter outlook for TaxAct of expected revenue between $67.5 million to $68 million and segment income of $39 million to $40 million. Our outlook for Wealth Management in the second quarter, excluding 1st Global, we expect revenue of $95.5 million to $98.5 million and segment income of $13 million to $14.5 million. We expect 1st Global, for the partial quarter, to add $25.5 million to $27.0 million in revenue and $1 million to $1.5 million in segment income. On a consolidated basis for the second quarter, excluding 1st Global, we expect total Blucora revenue of $163 million to $166.5 million, adjusted EBITDA of $44 million to $47 million, non-GAAP net income of $35.5 million to $38.5 million, or between $0.71 to $0.77 per diluted share, and GAAP net income attributable to Blucora of $23 million to $26 million, or between $0.46 to $0.52 per diluted share. This assumes corporate unallocated expense of $7.5 million to $8.0 million and excludes acquisition and integration costs. For the full year, we expect TaxAct revenue growth of 12.7% to 13.7% and segment margin of 43.6% to 44.6%. This margin rate reflects the accelerated technology investment that John referenced, and is of course a sign of the confidence we have in the potential of this business. For Wealth Management, excluding 1st Global, we expect revenue to grow approximately 3% to 6% with a segment margin of 14.7% to 15.8%. We expect 1st Global from the period of May 6 through year end to add between $108.5 million to $115.5 million in revenue and between $9 million to $11 million in segment income. On a consolidated basis for the full year, excluding 1st Global, we expect revenue of $595.5 million to $608.5 million. Adjusted EBITDA of $119 million to $129 million. Non-GAAP net income of $91 million to $101.5 million, or $1.80 to $2.01 per diluted share and GAAP net income attributable to Blucora of $41 million to $51.5 million, or $0.81 to $1.02 per diluted share, with $28.5 million to $29.5 million in corporate unallocated expense. Our outlook includes the following assumptions: a broad range for transactional revenue due to its variability; an effective tax rate of 6% to 8% for GAAP net income attributable to Blucora; and, our guidance for GAAP net income or loss attributable to Blucora excludes any impact to tax expense for discrete items and variable stock-based compensation granted to non-employee advisors. This outlook also excludes integration costs related to the 1st Global acquisition. We continue to anticipate total integration costs of approximately $28 million and estimate that roughly $10 million would fall in 2019, with the remaining $18 million coming in 2020. That said, the specific timing between periods may shift somewhat based on timing of conversion, as well as our ability to accelerate certain items. These integration costs will be reflected in our reported GAAP results and be added back for non-GAAP figures. Finally, we continue to expect the acquisition to generate $23 million to $24 million of run-rate EBITDA accretion by the end of 2019. With that, I will turn the call back over to the Catherine, and we will take your questions.
Operator: [Operator Instructions] And our first question comes from Brad Berning with Craig-Hallum. Your line is open.
Brad Berning: Good morning, guys, congrats on the tax season. Wanted to touch based John, you mentioned in your remarks about new distribution partners and kind of hinted at you're excited about next year. Can you talk a little bit more about lessons learnt this tax season and what you think the opportunity set. I don't usually hear you use words like phenomenal a lot. So want to give an opportunity tend to kind of expand on that. And then one follow-up on reconciliation for accounting on the guidance. You guys talked about a $10 million deal costs in the press release, but in the non-GAAP reconciliation, you don't put that item in there and I was just wondering if you could kind of expand upon that to make sure we understand if that's in the GAAP, not in the GAAP and if it's in the non-GAAP not in the non-GAAP for how you kind of release that?
John Clendening: Brad, John here. Thanks so much for the questions, and good morning. With regard to distribution partnerships, you'd asked, hey, what are some of the key learnings there that you're acting on, and I think it's really kind of a theme for the whole season. This last season is a season of terrific learning, part of which was fostered by bringing in new talent and new capability that we're able to develop a deeper understanding of what does it take to win and win organically here. The specific answer, I just call it two things, one is the engagement of the consumer along the way and post the end of the filing process is absolute key. I think that's going to surprise you, but we're ever more remind you that, the imports of how we introduced, when we introduced opportunities to take better control of your finances. And so that's my views around that. And one sort of double click on that would be the idea that we've done, just so much more research based on the experiences that we've put out there and sort a pilot in test. And it's really clear that many, many consumers, most across demographics are really looking for bite size, first steps to take to put themselves in a better financial position. It's one thing to think about and it's an important thing to think about is where do you want to be in the 30 years and that's terrific. The more consumers we have, the better. They're taking the first initial steps that build the habit, because thinking more carefully and more about - more on financial situation, again, that concept of bite size is something that we're really intrigued with we head into next season. Davinder, you want to add.
Davinder Athwal: Restate the second question Brad.
Brad Berning: Yes. So you guys talk in the press release about $10 million was integration costs this year, but you don't put it in your non-GAAP reconciliation. But you said in your prepared remarks that it would be excluded from GAAP for - your non-GAAP, but you don't have it in the actual reconciliation, that I can see, and if I missed it, I apologize. But I just want to make sure clear on the non-GAAP versus GAAP guidance on whether that the deal integration cost for this year have been included in those numbers in some way shape or form.
Davinder Athwal: Yes, that's actually right. So we do expect that to be coming down in 2019. It will be in the non-GAAP number as we said. And it will be added back into adjusted. So that's all accurate. So that's what sort of expect to see is, no impact in adjusted EBITDA or segment income, but in the GAAP net income, is what you will see that, $7 in 2019 and the same thing for '18, next year by the way.
Brad Berning: And one real quick follow-up. 1st Global you didn't provide EBITDA guidance, is there a way you can give that number rather than just the operating segment income number at all as well?
Davinder Athwal: Brad, the way that we construct our financials, segment income in the business unit is really a good proxy for EBITDA. Yes. So I look at that as kind of the proxy for what you're looking at.
Operator: And our next question comes from Dan Kurnos with The Benchmark Company. Your line is open.
Dan Kurnos: John, just first on the tax side of the ledger, so good times getting back into free here, I kind of want to get a little bit more into that topic. If you can just, look, obviously historically for those of us that have been around forever. This has been quite a cycle and you guys have done a good job growing paid units. Obviously, you feel like pricing is at a good point where you're still competitive and can drive value in the chain. There has been some kind of a lot of noise, obviously, with the volumetric leaders as you put it spending a bunch to try to drive DDIY. What gives you the confidence that you can kind of go back into that channel be competitive and then drive people up in three year chain, and that the new products that you've laid out now will be stickier over time as prices have come up and that there won't be more sort of price differentiation, given how much free is available in the market right now?
John Clendening: With regards to the key elements there to most focus on, I would call out these as the things that we point to that give us confidence. The first is and as you acknowledged you've been around the story for a long time, you know that we've been beating this drum around the needs to increase our prices, one of which have a more appropriate discount not chase away people who would actually fearful that are experience wasn't on par. But also because, if you're in a situation, we've got a market like this, where a lot of folks can file for free, and also the major players are sort of constantly touting come here for free even though focusing on the things. You've really got to make sure you did your unit economics on those that do pay into a proper shape, healthy position on the part of the business, the barbell if you will, the other part of the barbell where folks who are expecting to pay and do pay. And so, we've been on this couple of years journey to make sure that we've sort of appropriately built out our unit economics on all the SKUs that do have a price tag on them, just price tag on them. I am very happy with our progress there. What it does is, A, it lifts our overall economics, and then B, that makes a fair bit, some of those come in for free and ends up selecting or sort of upgrading themselves where the situation becomes such that they end up paying. They will then worth a while and from an LTV point of view, for them to have started for free. That's a very important point to hang on here, that would not have been the case three, four seasons ago. In fact, we were not even close enough to that last season. But now, we are in that range where the overall economics and the pay-off that's starting someone with free and having them end up choosing a - with the offer, makes sense economically. Second thing is we continue to be optimistic about our ability to build a ongoing relationship that would then result in better economics for us over time or this monetization opportunities, we can help people get into the financial situation better for them, also as revenue on it as well. We've been encouraged by some of our partnership successes most recently as a related point. Then lastly, and this is also throughput to our confidence level is the clarity that we have on our opportunities to increase conversion rates, to increase retention rates is at very high level. So we won't give further than that to avoid any sort of competitive telegraphing, but we were all over this experience more certain, we have the ability to do so in the past from a market tech or marketing technology point of view from a client experience and the entire the product and the analytics we have point us directly to investment that we're going to make that were better enable organic growth. So things are coming together in a way that the sequencing that we added in turn a few years ago has indicated that it would. Get the [indiscernible] economics where they need to get to begin the investment technology for better capabilities have the right team around this business. And then to begin shipping to organic growth as a driver as opposed to pricing, which as noted and please to here has improved the unit economics.
Dan Kurnos: Yes if I could just kind of pick on one of the points that you made John or not pick on, but at least highlight. I guess I want to ask we know how much you have improved the platform from a tech perspective over the last several years. How much of that is just simply now you have the tools to kind of up-sell or automatically insert the people in the right buckets as they kind of filter through the system, which should drive improved conversion rates versus kind of historical levels like how much is tech really impacted your ability to go after the segment of the market. Because it seems to me, based on your history like – it's kind of the big piece?
John Clendening: The way I would encouraged you to think about it is that we certainly been investing more in this business right. And some of the investment has been in technology. Investments made in the prior two seasons have primarily been the neighbors not necessary at a very base level to then allow further technology improvements that could be more directly impacting of the client experience. And so far it’s mostly enablement and on top of that, analytics investments understand where people may get stuck in the filing process where they may get stuck, even in terms of the sign up part of the process that sort of thing. We are now poised to invest more towards those outcomes but based on the foundation built around updating some of the very core technology, getting to the cloud, things like those that won't necessarily be directly noticable to client now we are shifting to more clients impacting technology investments going forward.
Dan Kurnos: And just one on the wealth management side, if I could, John. Just ever since you've now closed the transaction and you've had it for such an extended period of time here. Just any kind of delta and sort of the reception have you had to do anything on the retention side for advisors coming over, is there any kind of noise, that we should expect during the transition over the next kind of, let's call it three months just three months to six months or the back half of the year that would impact, which should be the trajectory, even if you end the year at kind of where you said you would from a run rate EBITDA perspective?
John Clendening: I think the first thing I'd emphasize and I should have alluded to this in the comments, but it's great to have the 1st Global Advisors on board added to the newly strengthened HD Vest advisory community that we've been focused on for the past few years. And as part of that it's incrementality that their advisors bring to us since 1st Global had a greater focus around multi-partner, multi-location CPA firms. So it's been terrific to meet these advisors and hypothesis that we had previously around their passion, around Tax-Smart investing is awesome, it is just terrific similar to what we see on HP Vest advisor side. And so the thesis around better enabling advisors to win through better investing, which we believe can come through Tax-Smart investing, I have certainly been validated. So far, as you point out it sort of day, day plus two now. But I have met a bunch of advisor, I feel very confident about – what we've acquired in this company, we have a chance to learn more about some of the offerings that they have that I think are going to be a net positive on the HP Vest side as well. So I'm encouraged about our growth prospects as a combined new wealth management division. On this, would you might be repeating the second question Dan so we sure we have it the second question.
Dan Kurnos: I was just curious about if there are any retention issues and just if there is noise in the back half of the year?
John Clendening: Look we sort of talk about kind of retention over time as not being something that's been an issue for HP Vest. I do not foresee it as an issue at 1st Global simply because of the value proposition, that's under underway here that exists already in that model. I want to make sure we're frankly we're kind of putting our arms around all advisors at 1st Global and at HP Vest as well. And I think you'll recall and those in the call will recall as well that for highest performing advisors, we do have an equity program. Something that we believe has been really well received as a great positive around being part of a publicly held company. Now, having said all that and we're taking all the right steps we think around creating a highly motivated, committed since the partnership with advisors, certainly within our modeling around an acquisition like this, you'd expect us to add a little bit of appropriate conservatism such that we're not unmindful of the idea in acquisitions you often hear a little bit of advisor fallout. So we've incorporated some of that into our model.
Operator: And our next question comes from Chris Shutler with William Blair. Your line is open.
Chris Shutler: So starting on TaxAct, John can you give us a little more color on how you plan to monetize free units? Is it more about kind of blueprint and new distribution partnerships or is it more about up selling those free units midstream into higher priced SKUs?
John Clendening: So at this stage, as you would imagine, I can’t be overly disclosed on specific plans around monetizing where we haven't been able to do so. I haven't really better said focused on doing so in the past, but I would call out a couple of things to help establish the thought process around that building on the comments that were made earlier. One of those comments is that in the optimization work, we've done in the last couple of tax seasons, last three tax seasons in primarily around the online digital sort of advertising and marketing we do, but also in some of the messaging that we've focused on predominantly. We've been explicitly optimizing all of those around people who we were predicting can pay in year one. So you can imagine the segmentation work the micro-segmentation work, the predictive modeling that one can do in particular digitized marketing world. We've completely optimized for those that we believe can pay it in year one. So it sounds like we shut the door to people who are free and would expect to be free and close them out, but we've been focused on attracting and then optimizing our marketing spend for those that are likely to pay. So we're in a mode where we can sort of take off some of those filters if you will, and be more open-minded and welcoming if you know people that would start for free. The second element is around those couple of things that you put out there. We have asked experienced now and what does it take to attract someone who can pay for free, but has a need to get a little bit more assistance. And on top of that we've gotten more comfortable with what the opportunities are around distribution partnerships and monetization outside of the strict ARPU first with that tax filing. And if there is one other element, I think it would be worth pointing out is that the success that we've seen in this tax season is a real bright spot around the numbers themselves. If you pick them apart and I alluded to this a bit in the prepared remarks, but when you look at our higher end SKUs, so those SKUs that are the top three let's say price points, we seen really strong growth in those and that also was indicative to us around. If we focus in the right way around helping people through the entire process, we are going to increase the overall sort of entry way through our fund through the conversion process and there are some areas around free where we weren't in market. We’re a bit out of market, and we think chased away some folks that would have ultimately chosen to pay us or would have been at skews that would quite naturally resulted in revenue. And so there is little bit of a chase away factor that we observe this year will sharper in some other years that we want to make sure we don't have that sort of barrier to those it were likely to pay but end up starting with the concept around free, we don’t want to oppose that any longer because we think it will lift monetized units to be more welcoming to free. So that's lead through the round out of that. Your question as well some of the usually came out the first question.
Chris Shutler: And John, just a follow-up on that, when you said, strong growth in some of the top price points, the higher priced skews. Are you talking unit growth this past season, or what are you talking about revenue growth?
John Clendening: So yes, so if you sort of look at the season itself, right, so we saw stability in monetized overall just for context and yes as incurred, we get the numbers on there, and we don't share them for competitive reasons, but we think about our comments in the last call and what I've just now said. Clearly we've got a couple of low range skews that are not performing where we would like them to perform, and yet when you look at the top few skews, we've actually seen growth in the upper part of those skews. And not small growth not and were modest without the use in describing that we've seen really strong growth in those skews above the very low price points. And we're excited about that, we've seen that begin to emerge in the first peak and then followed through and the second thing, I can actually for the specifics there but collectively those types skews we're up in an attractive way.
Chris Shutler: Yes, good to hear. And just to be clear, when you talk about monetized units overall being flat, you're talking about the consumer side of the business, right. That does not include professional, is that correct.
John Clendening: Yes, we haven't included professional at one point we might begin combined those because we're predominantly as you know, consumer business, although we're very happy with what happened on the professional side with regards to growth there. And with the 4% roughly increase in unit volume and as nearly that over time as we get more into our growth strategy on consumer will be able to invest some more and continue to invest more on the professional side. We're really happy with the offering there. There's been some substantial improvements that we've been able to make around the experience itself. And we are not appealing to a broader set of advisors as a consequence. I wouldn't call out that as a major growth driver in the next year or so, it will be accretive, no doubt about it, but in the not too distant future. I'd love to see that business being able to grow even more quickly. There is a lot of dissatisfaction out there around other offerings, particularly on the skew Advisor that we target.
Chris Shutler: And last one, guys, I wanted to dig a little deeper on the blueprint financial assessment and maybe just provide a little more color on how that performed this tax season in terms of uptake. I think you commented a bit in the prepared remarks, but I was always utilization like and what do you feel like needs to improve, what's the plan to get there. Thanks.
John Clendening: So blueprint did get late start to season as we were working on improving the customer experience. So we'll have to see how it go, how it performs in the offseason. As you know, a lot of the in-season work is actually around obtaining consents. So if I could had a ledger on this one, the plus side of the ledger would be we are close to $2 million more consents this year. And so we've got about 4 million people has indicated that their interest in having them, help us improve their financial situation, whether it's in the season or outside the season is really strong. That's good news, it's of course the top of the funnel. Last year it was - last year I told you it was our - our first year we tested a lot of different types of agreements, partners, structures, these are learnings to inform our plans this year, we tested some additional set this year as well. And so we do have to grow quite a bit to start to have a material impact given the size and the total overall revenue in the consumer channel, but we hope to make good progress each year. What do we learned – came up a little bit previous sort of peel back the onion a little bit. It is around the concept of kind of what's the how it's engaging, how do we make sure that for the earlier comment, we're sharing the easiest most right-sized opportunities because it's getting started developing a habit of looking at your financial opportunities is the important thing, because you're overcoming the [indiscernible]. So many Americans ignore their financial situation it's too painfully to think about. And so that's a part of it, it’s coming back with kind of a sequence right-sized if you will sort of opportunities to get people draw into how easy it is to improve your financial situation. There is more insight that I don't want to share at the moment that are going to be guiding our development that will be getting into for the balance of this part of the year that we think really our nerve some dramatic opportunities to get that engagement level higher right. So people are saying, yes I want some help. ARPU is to convert them into actually much more adoption of what's available in the way of fulfilling on that need for help that’s a good idea but how will I do that next season.
Operator: Our next question comes from Will Cuddy with JPMorgan. Your line is open.
Will Cuddy: So on the pivot to more free focus, how are you thinking of the timeframe for that increased focus on pre-filings to translate into monetize unit growth? And during this timeframe of pivot and transition, how should we be thinking about the outlook for monetize unit growth. Now, that pricing is stabilized?
John Clendening: So couple elements there to focus on. The first is you got to think about it as sort of opening up some elements of our marketing funnel that we previously purposely closed. So it's not now and - now we’re not focused on monetized, we're now only focused on free, think about it as broadening the marketing message and the marketing techniques that more fully open that door, if you will, to free. So it's not a an or it's an and, so we view it as an and strategy and not an awards put like zig zag back over that to free because we're okay over here to monetize. So while we very clear, we evolve into clearly each other as look as we look to begin restoring overall organic growth and having a larger overall pool – to work with, to help, to monetize. We want to grow and monetize, to the monetize units and we want to grow free units, want to grow the whole total pie. And so the investments that we're making in the client experience are going to be beneficial to both those that can go through the process not paying as well as those that do. I mentioned earlier that we got a very clear roadmap. It's certainly a couple year roadmap or a vehicle roadmap on the very specific improvements we’re going to make to the clients experience that’s going to benefit both of the assets that consumers here. So really important to take away that we are not getting off the gas monetized, we are accelerating on monetized. And along the way we're also kind of removing some of those elements that may have, and certainly we're meant to kind of more attract those that we're paying out of the gates.
Will Cuddy: Switching gears a little bit on tax-smart investing, so great to hear that launch is coming up. Could you talk about the trajectory for that launch and what of the phases, like how should we think about this rolling, being rolled out and the timeframe there as well?
John Clendening: We are super excited about this. As I mentioned earlier, advisors are anxious for us to continue to invest in this opportunity. I would say under folding unfolding for me like this, but first how we’re contact, think about a matrix, I’ll go super quick here but a matrix. We're on the top, you got, let's say 10 to 12 top, the column headers 10 or 12 tax of accretion strategies for the rules, on the other side you've got all the accounts inside a consumers portfolio. So the household, over a couple-year period, I would envision that we've built all those strategies and their applied across all of the accounts that make up the tax payer household. The reason for that is these trends have to work holistically. On top of that, we will build the practice management layer that make sure that the software is telling advisor what to focus, not the advisor finding the opportunity. So with that as a sense of what the vision over a couple of year period. And just a few months, we'll be launching the first strategy on this sort of filling out that call it checkerboard. By the time we get to let's say second quarter, roughly. Next year we'll have three or four more strategies and we will make headway around the look across the full, we'll begin doing this actually in the initial launch but we’re going to make more progress that incorporating all the accounts that are relevant to the consumer. And I'm sure by that period, we will have been able to open us up to our newly welcome to the sole advisors, there’s some technology work to make that happen. But you can think about the very first commercial grade version 1.0 hitting here in a couple of months. Big version 2.0 the tool kit hitting sometime likely just after tax season next year and then over again a couple year period filling up that entire offers that, again software that automates and currently cumbersome, time consuming and error prone process by which advisors look to pay people money on their taxis generated through investing. That's the big idea 1% to 2% a year. It's huge for investors. We are keen to get this rolled out. We build it with Pfizer's, which dictates the pacing as well. I should point out, but we do it that way. So we make sure we're hitting the mark.
Operator: Our next question comes from Alex Paris with Barrington Research. Your line is open.
Chris Howe: This is Chris Howe sitting in for Alex. Thank you for taking my questions. Just following up on some of the commentary you already made. It's been very helpful and going off of your blueprints, adding distribution partners and some of the product extensions that you're making. As we look at our lifetime value to cost of customer acquisition, how should we think about the balance of this ratio, will be the improvement come more from marketing utilization or should we see it more from price increases and going off of lifetime value. You mentioned conversion and some of the retention now, metrics that are showing improvement. How much potential upside is there in these metrics? As we look further out your conversion remain same or, and retention continue to improve and any change in the client profile that you're seeing underlying the business that's leading to the success that you're seeing in conversion and retention?
John Clendening: Let me speak to the second of those, and I will turn to Davinder, probably on first of those. So the lead in on the second part I believe was around, what's the magnitude of the opportunity that you're seeing. And I would characterize it as we see it as a significant magnitude around the client experience. Sort of the magic, imagine it's a rate filing your taxes has always been complex We will be greatly the point where it's so simple that and now on the [indiscernible] have sort of made it like a couple of clicks, we've done. I don't know that's ever going to be in the future given the tax cut itself, but it's working good through and the team this year I was able to pick it apart completely start to finish side to side, up and down using consumer sort of prototypes that one could observe going through the process itself. Suffice to say though that we come away thinking there's a lot of opportunity, not on the edges, a lot of opportunity to improve the experience that would then lead to higher conversion that would then lead to higher retention rates. And so that's really crucial for us. We then move to demographics and given the size of the business you don't tend to see large swings. However, it's certainly fair to say that given our focus on monetized filers that we've been so resolute on in the last two seasons that we've had, clearly ship right to those that are going to be more complex in their filing situation and as the customers buy more tuned into some of the ancillary offers that we've been building along the way, but it is a byproduct of having had a more monetize approach, you see that increasing complexity. There is a bit of a income correlation with that - a bad thing necessarily, but it is such a big business that these and that becoming more glacial then we think -- haven't taken the first around. How about think about LTV and we see sort of drivers of that cost of acquisition.
DavinderAthwal: Thanks for the questions. There’s probably three key drivers as we think about LTV in this business. The first is around retention, the more at attainable customer of other better off we are in terms of overall economic anything I believe that experience is quite a bit of churn industry-wide. So if we could attack that part of it. We believe that's the first step to helping before - and then, another thing, the other ones that you mentioned Chris, obviously we can convert from free to paid at the right time in the right way. That's another valuable driver of getting those itself. And the third one would be the higher price point and we'll continue to take ARPU up overall. That also impact royalties, so we think about it, really combination of those three things, not really sure that we broke that out between what percentage that those should contribute, but we do think that both three in the high court. For most part -- excuse me. In order to help us get LTV to where we think it's possible to go.
Operator: And we have a follow-up from Brad Berning with Craig-Hallum. Your line is open.
Brad Berning: I'm sorry, just a quick couple of follow-up through the end. On the gross margin improvement in tax, how much of that was ARPU driven and how much of that was cost of acquisition driven given that you've got some different distribution partners that have probably a little bit different models want to make sure we understand kind of the gross margin opportunity as you push forward from here?
Davinder Athwal: It's actually both of those two factors that you just noted. For any ARPU is a big factor, but also there is your aspect as well. So the combination of those two would result in that better economics.
Brad Berning: Any idea on the magnitude of one was more important than the other this season?
Davinder Athwal: No, we typically not really talked about, as you know Brad and I don't think the call one out over the other this quarter either.
Brad Berning: And then the final question on the 1st Global guidance for the accretion that the run rate at the end of this year, is that strictly contractual cost saves element to that and are not asking for guidance in 2020. But are there other operational opportunities as the platforms get put together that are beyond just the platform contractual opportunity sets?
Davinder Athwal: Yes, obviously, Brad. I can take that also, the way I think about it for 2019 is that most of it is contractual but not all of it, there is some other OpEx savings that will come in this year related to headcount and things like that, but that is already that you should think about it, really contractual for this year.
Operator: And I'm showing no further questions at this time. I'd like to turn the call back to management for closing remarks.
John Clendening: Okay. Thank you all for joining us today. In closing, I'd like to welcome again the 1st Global Advisors and employees to Blucora and to thank all of our employees, advisors and customers that make our business so strong and enjoyable. We are pleased to report another strong quarter and tax season and look forward to continue to update you as we progress through the integration and continue to grow our business. Again thanks all.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone have a great day.